Operator: Ladies and gentlemen, thank you for standing by, and welcome to the ICL Analyst Conference Call. Before we begin, I must advice you that today’s web seminar is being recorded and that all participants are currently in a listen-only mode. The presentation today will be followed by a question-and-answer session. [Operator instructions]. Now without any further delay, I would like to hand the conference over to your first speaker today, Limor Gruber, Head of IR. Please go ahead.
Limor Gruber: Thank you. Hello, everyone. Welcome and thank you for joining our fourth quarter 2016 conference call. Earlier today, we filed our press release to the Securities Authorities and the stock exchanges in the U.S. and in Israel. The press release is available also on our website. For your reference, this meeting is being webcast live at www.icl-group.com. There will be a replay available a few hours after the meeting and a transcript will be available within 48 hours. The presentation that will be reviewed today was also filed to the Authorities and is available on our website. Please don’t forget to review Slide #2 with the disclaimer. Our comments today will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on management’s current expectations, and are not guarantees of future performance. Today, we will start with a presentation by our Acting CEO, Asher Grinbaum; followed by Kobi Altman, our CFO. In addition, ICL executive are either here or on the line, and will be available for questions following the presentation. Asher, please.
Asher Grinbaum: Thank you, Limor. Good morning, good afternoon to all of you around the world. Starting from Slide 3 and looking back at 2016, this has definitely been a challenging year for ICL. The business environment in commodity fertilizers has been under significant pressure, which required us to make tough decisions. We adjusted our spending investments to these changing conditions and focused on the variables we could control. I am proud of the ICL team for the progress we made under difficult circumstances and we closed 2016 in a stronger competitive position as a result of these efforts. Our annual and quarterly results reflect our unique business model, where our specialty business provides a balancing effect to the commodity downturn and helps us achieve better performance compared to many of our peers. The significant negative pricing impact on our operating profit for the year which amounted to $580 million was mitigated by operational and commercial excellence initiatives, which helped us to improve our production and sales volumes, reduce our cost and increase the value from our products and services. These initiatives contributed more than $100 million compared to 2015. Cash flow optimization measures contributed to yet another quarter of strongly positive operating and free cash flow. The breakdown of Slide 4 demonstrated the diversification of our business and highlights why ICL is in a unique position compared to most of our commodity based competitors. Our business diversification is a big advantage, especially during downturns, and volatility that characterizes the agriculture cycle. We believe that our specialty solutions businesses will continue to act as a stabilizing factor. The results of the growth in our specialty solutions during the downturn in the potash and phosphate fertilizers markets are clearly demonstrated on Slide 5. In 2016, more than 60% of the operating income came from the specialty businesses. We will continue to build the company for a sustainable balance between our Essential Minerals Division serving the agriculture market and our Specialty Division serving a wide array of diversified end markets. We put a lot of focus on innovation, and as a result, most of our R&D investments are directed to our specialty businesses increasing their contribution of new and usually more profitable products to our top line as demonstrated on Slide 6. In 2016, we increased the sales volumes of Polysulphate by about 60% and we expect a similar growth rate in 2017. In Q4, 2016, Polysulphate sales volumes almost doubled and we are pleased with our achievements in producing granulated Polysulphate and our new product PotashpluS, a granulated blend of Polysulphate and potash. New generation polymeric bromine flame retardants had a significant contribution to ICL Industrial Products in 2016. The E max technology that was developed by ICL Specialty Fertilizers is a production technology to lower cost with controlled release fertilizers. And in the Food Specialties business line, our new products provided full tailor-made solutions for texture and stability based on specialty phosphates and dairy proteins. As you all may remember our target for 2016 and 2017 CapEx was not to exceed $650 million for each year. As demonstrated on Slide 7, in 2016, we effectively delivered on our target. While strictly managing our spending, we will continue to ensure that we provide sufficient resources for growth as demonstrated in the depreciation line. Most of the maintenance CapEx is in our essential minerals and sales to maintain and further improve the competitiveness of our existing assets. In contrast, most of the growth CapEx is directed to our specialty businesses and we plan to continue to increase our growth investments in these businesses to support our goal to achieve the above-GDP growth. Looking into 2017, as you can see on Slide 8, the business environment remains challenging. The market continues to be competitive in several business lines, especially those that are correlated to the phosphate commodity markets. We continue to focus on the matters that are under our control, focusing on commercial excellence in our specialty business, by offering new products and solutions and by expanding geographically, will ensure these businesses continue to provide a balancing effect to the more volatile essential minerals division. Operational excellence in our mineral assets and production plans around the world to further lower our production costs, ensuring we maintain a strong competitive position. In addition, during 2016, we made significant progress in our working capital and CapEx management and our goal is to further build on our achievements in 2017, which will contribute to cash flow generation and to stronger balance sheet. All in all, we believe that ICL will come out of this cycle as a better stronger and more resilient company. With that, I would like to conclude and pass the floor to Kobi. Kobi, please.
Kobi Altman: Thank you, Asher. Good day everyone. I will start with our financial results on Slide 10. Overall we are pleased with the solid quarter’s performance in a middle of a commodity turmoil. The fourth quarter is traditionally a weaker quarter for ICL due to seasonality, and despite this, we had good achievements in both our Essential Minerals and Specialty Solutions division, as well as ICL cash generation power. Both quarterly and annual sales was similar to the level in the comparable periods. This is a great achievement in light of the price pressure that we faced, particularly in the commodity market. We cannot control commodity prices but we were able to offset some of the negative impact by improving what we can control, focusing operational excellence to reduce cost and improve production utilizations and/or commercial excellence including innovation, pricing initiatives, improved portfolio, geographical expansion and customer relations, all of which continued to contribute to the balancing effect of our specialty businesses. The measures we have taken to reduce our cost and working capital, along with our disciplined approach to CapEx, have made it possible to record another strong quarter of operating cash flow and positive free cash flow in contrast to the broader commodity sector, which resulted in a reduction in net debt in the quarter. Cash flow generation will continue to be priority for the company. I am pleased with our achievements in the past few months to settle several legal fronts, which were significant overhead for several years with only moderate financial impacts. This includes the conclusion of an arbitration proceeding between Dead Sea Works and Haifa Chemicals, the conclusion of proceedings regarding prior year's tax assessments by the Israeli tax authorities, the dismissal of a motion for a certification of a class action against the company that was filed in 2013 on the grounds of misleading disclosure, as well as the approval of settlement agreements regarding a class action against the company’s Dead Sea Works subsidiary with respect to potash prices in Israel. We are proud of all of our achievements which position us as a stronger more resilient company for years to come. Turning now to our business performance and the major developments for each of our divisions during the fourth quarter and the full-year on Slide 11. And I will begin with Specialty Solutions. The Division's operating profit increased by 12% compared to the fourth quarter of 2015, an impressive achievement, as the fourth quarter of 2015 was unusually strong due to exceptionally high sales of clear brine fluids and some catch-up with it following a slow first half in 2016. The ICL Industrial Products business line, performance continued to benefit from the implementation of its strategy. In 2016 we had record sales volumes of several important new products like FR-122P, the mercury emission control product line and several other flame retardants. Our costs were driven down by the labor reduction and lower raw material cost, while still maintaining our elevated selling price level as we focused on value oriented pricing strategy. ICL Advanced Additives benefited from increased sales of environmentally friendly extinguishing materials. In ICL Food Specialties, we increased sales of dairy protein and blended solutions, which helped to compensate for the price pressure in single ingredient phosphate additives market. In our Specialty Fertilizer, price decrease of commodity fertilizers, which are used as raw materials for the specialty increased competitive pressure in the market. In addition, lower crop prices incentivized farmers to use cheaper commodity fertilizers over semi-specialty fertilizers. We are somewhat more encouraged since the beginning of 2017 where we are seeing the price appreciation of ammonia and a good start for the year in Israel and Europe. Moving to Essential Minerals. We experienced strong commercial and operational performance in the potash business, while our commodity phosphate business continued to face a very challenging environment. During the quarter, we shipped the highest potash volumes in the company's history for a single quarter. The potash results will also supported by better realized price for potash compared to our major peers, which reflects our geographical advantages. During the fourth quarter, we were able to complete all the contractual shipments to China as well as some optional volumes. Our shipments to Europe and Brazil also increase compared to the fourth quarter of 2015. The improvements we made in our logistics systems as part of our operational excellence initiatives, as well as higher production at ICL Dead Sea allowed us to meet the increased demand in a relatively short period of time. The record production at ICL Dead Sea in 2016 was achieved through better management of the raw materials flow together with the utilization of higher capacity in our processing plans. The improvement in the Dead Sea is expected to offset a decrease of 300,000 tons expected in the U.K. production in 2017, mainly due to the shift to Polysulphate. In the last few months, potash prices recovered from the lower levels recorded in the third quarter of 2016. We experienced good customer engagement and believe there is more room for a moderate recovery in demand and prices in 2017. In the phosphate markets, selling prices continued to decrease in the fourth quarter compared to the third quarter of the year. The phosphate business line’s annual and quarterly results were severely impacted by prices. We are disappointed with the results of our YPH joint-venture, as it is still highly exposed to the phosphate commodity prices, and our focus for 2017 is to minimize the losses it is generating. In recent weeks there has been some stabilization and even improvement in the market with price increases realized in Brazil, the U.S., Europe and China. Added to these is the expectation for slightly lower Chinese production in 2017 from the already low bar set in 2016. However we expect higher raw material and energy cost, especially for ammonia to offset some of these price increases. Looking into the first quarter of 2017, we expect potash shipments to be down significantly from Q4 ‘16, but moderately higher prices to partially offset this decline. Lower volume is the result of completion of the previous Chinese contract without the new contracts signed at this point in the year, coupled with seasonality low volume, which typically occurs in the first quarter. We continued to intensively implement efficiencies in our YPH joint-venture in China. And together with the moderate price recovery, we hope to improve the results in the phosphate business line. In the Specialty Solution Division, this is still off-season in some major business lines and we expect to be stable sequentially. The bridges on Slide 12 demonstrate the challenges we faced this year, namely the significant impact of lower commodity prices on both sales and operating income. While we were able to mitigate the impact of lower prices by increased volumes sold, which resulted in almost flat sales year-over-year, the impact was much more noticeable on our operating income. Yet again our increasing ability to control our cost and the successful implementation of our efficiency measures, helped to partially mitigate that effect. In this regard, it is important to mention that part of the positive contribution of the raw materials, energy and transportation items, is also related to our operational excellence initiatives. It should be noted that the 2015 strike impact was adjusted in the operating profit but not on the sales level. This is why quantities impact is positive in the sales but negative in the operating profit. Turning to Slide 13. In the Specialty Solutions Division, we can see that sales this quarter were almost the same as the fourth quarter of 2015, which was stronger than usual fourth quarter. Some of our business lines experienced price declines due to the increased competition, as a result of low commodity prices. That was offset almost completely by the increase in quantities. Despite the lower prices, the division’s operating income increased by 12% attributed to low production input cost, improved product mix as we grow the share of new products, as well as efficiency measures. Let's take a closer look at our Essential Mineral Division on Slide 14. The late signing of potash contracts in China and India resulted in high shipments of this - to these markets during the quarter. As Asher explained, our logistical advantages which where further enhanced by operational excellence initiatives, as well as strong production in the Dead Sea, helped us to ship record quarterly volumes of potash, even though this benefits from higher net back in our potash prices as reflected in our full price compared to our major peers, we also continued to see the significant impact of the price decreases versus 2015, especially on the phosphate business line performance. This was partially offset by lower raw material and energy prices. Turning now to Slide 15. As we completed our current operational excellence and efficiency plans, we are satisfied with our accomplishments which results in a further contribution in 2016 of more than $100 million compared to 2015. Over this period from 2013 to 2016, we have achieved a 22% reduction in production cost per ton of potash, mainly due to cost reduction at ICL Dead Sea and an increase in the Dead Sea share in production and sales. Our target for 2017 is to create additional value of $100 million to further improve ICL competitive position. We will do it through efficiency measures in our production assets and in our administrative costs, as well as through commercial and operational excellence initiatives, which are expected to contribute to better production utilization, increased sales of new products and solutions, and better pricing, especially in our specialty businesses. And finally, on Slide 16, our disciplined balance sheet management in 2016 is reflected in the quarterly cash flow generation, especially in light of the significant decrease in commodity fertilizer prices. For 2017, our target is to maintain our achievements in the working capital and cash flow management. After successfully achieving our 2016 CapEx goals, we plan to further reduce CapEx in 2017, while still leaving room for growth, as Asher demonstrated earlier. The combination of our disciplined balance sheet management with lower CapEx and costs should help us to achieve another year of meaningful cash flow generation. This is expected to support our goal to finish 2017 with a net debt to EBITDA ratio of less than 3.5, which is important for maintaining our investment grade rating, while we still providing solid dividend yield to our shareholders. Thank you for your time, and we will be happy to take your questions now.
Operator: Thank you very much. [Operator Instructions]. And your first question comes from the line of Patrick Rafaisz from UBS. Please go ahead.
Patrick Rafaisz: Thank you, and good afternoon, everybody. Couple of questions. First on the optional volumes you shipped to China. Can you quantify how much that was, and how much that could be potentially in 2017? Then on cash flow, you mentioned the strong collections in Q4, which helped a lot to improve the year-on-year performance. Would you agree that this creates a pretty tough base to beat in 2017, i.e. that working capital intensity is unlikely to improve further next year or this year? And then lastly - sorry, there are three questions. For Specialty Fertilizers, do you have a view on when the competitive pressure could start to ease in this segment? Thank you very much.
Asher Grinbaum: Okay, I would like - Asher speaking - I would like to convey the question to - the first two questions to Kobi and afterwards to Nissim.
Kobi Altman: Okay. I will talk about the cash flow, and Nissim you will talk about the quantities to China. On the working capital and cash flow, yes, Q4 was particularly strong due to the collection in this fourth quarter. We do expect a weaker cash flow generation quarter in the first quarter of 2017, but still we expect 2017 to be a very strong year of cash flow generation. But to your question, yes, Q1 will be lower than 2017. We also still plan to further reduce our working capital in 2017. We still believe that there is room to further improvements in our working capital. It might not continue to be this dramatic reduction in future as like we experienced in 2016, but at least in 2017 we still expect to see some improvements. Nissim?
Nissim Adar: Okay. In regards to the contract supply to China, so first of all, we fulfilled our obligation of the contract. We don't have a flow or maybe little quantities to flow to 2017, and of course all of us waiting now for the next milestone of signing the next contract in China, which at least rumors from the markets is expected to be by the end of first quarter.
Patrick Rafaisz: Do you have any view on the price points with the first contracts?
Nissim Adar: Look, we hope that the price will go up.
Patrick Rafaisz: Understood.
Operator: Thank you. So your next question then comes from the line of Vincent Andrews from Morgan Stanley. Please go ahead.
Neel Kumar: Hi. This is Neel Kumar calling in for Vincent. You had a comment in your press release about having [indiscernible] for phosphorus-based flame retardants in the quarter as a result of the stricter environmental regulation in China. I'm just wondering if you expect this trend to continue in 2017 for Chinese producers to continue to have these issues?
Asher Grinbaum: Eli, please.
Eli Glazer: As we can see now, we believe that the regulation in China will continue in that same direction, and according our forecast, our quantities will become or will stay as it is now.
Neel Kumar: Got you. And I was also wondering if you could talk about the price you’ll be able to get for Polysulphate in the fourth quarter, and how do you expect prices to be affected as you increase the volumes?
Asher Grinbaum: Nissim?
Nissim Adar: Okay. Polysulphate is a successful move of penetration to the market with new products and these products has a wider character if it’s a unique product with four nutrients and it's accepted in the markets in the successful way, we expect that prices of Polysulphate will follow the prices of the different nutrients in the formula. So if prices of potash are in positive momentum, and this is what we see in the last weeks, I expect that the Polysulphate prices will follow this positive momentum.
Neel Kumar: Great. Thanks.
Asher Grinbaum: This is Asher. Taking - it was a question about the specialty fertilizers situation in China. We believe that it's a direct relation between the specialty fertilizers, mostly based on phosphates and what’s going on in the phosphate market and we expect that once it will be some recovery in the phosphate market, we should see immediately also in the specialty fertilizers.
Operator: So your question comes from the line of Joel Jackson from BMO Capital Markets. Please go ahead.
Joel Jackson: Hi. Good afternoon. I wanted to go back to some of your commentary on potash production. Can you help us understand - like you produced 5.3 million tons of potash in 2016, what will 2017 and 2018 look like? And you talked about the U.K. Boulby being down 300,000 tons because of, of course the transition to Polysulphate. You will be taking that offline presumably in 2018. And then you're ramping up your expansion at some point in the next little while in Spain of Iberpotash. So will potash production in 2017 be down 300,000 tons versus 2016, and then what will ‘18 look like, or please correct me?
Nissim Adar: As you said, the mine in U.K. is focused on Polysulphate and the reduction of 300,000 ton of potash will be partly compensated by all the operational excellence which we do in Dead Sea, and in order to compensate as much as possible of this quantities. So what we will see in 2017, maybe it’s slightly less quality than 2016, but not dramatic.
Joel Jackson: And then what will 2018 look like with the different puts and takes?
Nissim Adar: In 2018, I expect to continue with this approach in Dead Sea to continue to debottleneck. We will not be, again compensate fully the reduction but mostly, and in 2019, I expect that the Spanish mine will start to add the additional quantities.
Joel Jackson: So does that mean we should expect the U.K. potash mine to produce about the same amount of potash in 2018 and 2017?
Nissim Adar: Yes.
Joel Jackson: Okay. Thank you for that. So my next question is on phosphates as well. So you talked about that the goal with the JV in China is to just minimize the losses. Obviously this is a reasonably recent investment and a large investment. You learned a lot about it. It sounds a good opportunity has soured. At what point, even though it's a new investment, would you consider walking away from this investment?
Nissim Adar: Walking away is not in our agenda. And look, this joint venture is suffering heavily from the huge reduction in the phosphate prices. Just to give you rough idea, in 2016, the prices reduction influenced $100 million in the bottom line due to this. So we compensated partly this by efficiency measures and other operational excellence activities, which we’ll continue to do also in 2017. If what we see in the last weeks is positive trend of phosphate prices will continue, then we will see here a different picture. We have still lot to do in operational excellence and cost reduction, and of course we are analyzing the options how to optimize this activity.
Asher Grinbaum: I would like to add to Nissim - Asher speaking - that our talent and our target is very challenging, so we are analyzing and we are pushing the price reduction of course and operation excellence, the commercial excellence. We are checking also the mix of the products that we are producing there and we believe that with all the efforts that will be done, we shall minimize the losses in this joint-venture, and miss in sales, we don’t have in the agenda any, let's say, programs to shut down or to walk out from this joint venture.
Joel Jackson: Okay. One more question please. You did very well with your potash costs per ton in the quarter. You also drew down lot of potash inventories. You had pretty high inventories in Q3. You have achieved costs like this before but they've been higher in recent quarters. In 2017, what should potash costs look like, should they be more on the average of 2016 numbers, or is Q4 a good cost to model for the year?
Nissim Adar: Okay. As I told before, we are doing a lot of activities in our sites to reduce our cost and to optimize our processes. And in the last - and we started this process even before the prices started to go down. And I think we are now enjoying the results of these efforts by reducing our cost. This process of reducing cost will continue over in the coming years. So from this point of view, I am comfortable with our competitive edge and this process will continue.
Joel Jackson: So, I mean, will 2017 cost on average be lower than ‘16? Is the Q4 number a reasonable rate to move forward for ‘17?
Kobi Altman: Joel, you can take the fourth quarter number as a good estimate for 2017.
Joel Jackson: Okay. Thank you very much.
Operator: Thank you. And your next question then comes from the line of Georgina Iwamoto from Bank of America Merrill Lynch. Please go ahead.
Steph Bothwell: Hi. It's actually Steph Bothwell from Bank of America Merrill Lynch. Just a couple of quick questions from my side. So firstly, on the CapEx guidance for 2017. If I look at your presentation, it looks like the upper end of the range is in and around $610 million in terms of total CapEx. I wondered if you could perhaps split that out between growth CapEx and maintenance CapEx, and on the growth side, perhaps give us a little bit of detail in terms of where you will be spending? And the second question is on elemental bromine prices, which you flag are still quite elevated in China. Perhaps some sense in terms of where you’d expect the prices to go for elemental bromine as we proceed into the year? Thank you.
Asher Grinbaum: Charles.
Charles Weidhas: This is Charles Weidhas speaking. I'll address the question around CapEx. So without giving a specific number, the majority of the CapEx that we’ll be spending in 2017 is geared towards maintaining our capacity, operational safety and environmental performance as well as cost reduction. But there still is an amount there that is for selected growth projects in our Specialty Division and a little bit in our Essential Minerals Division. Regarding the question on bromine, I'll turn it over to Eli Glazer.
Eli Gazer: Hi. It’s Eli Glazer speaking. Related to bromine prices in China, we anticipate that the prices in China will remain at this level they are now.
Steph Bothwell: Okay, thank you. And just to follow-up on the CapEx point. Can you perhaps quantify how much is related to growth CapEx and how much is maintenance? I mean, what is the proportion that you’ve left for growth spend?
Asher Grinbaum: Okay, sorry. Asher speaking. For the growth CapEx, we have close to $100 million and to maintain the capacity we have about $150 million.
Steph Bothwell: Okay. That's very helpful. Thank you very much.
Operator: Thank you. Your next question comes from the line of Abbas Ali from JPMorgan Asset Management. Please go ahead.
Abbas Ali: Hi. Good afternoon. I have two questions. One, if you could just give a few more details on the impairment of assets that you took this year and that you also used in the calculation of your adjusted EBITDA? And secondly, on the liquidity position. The cash on the balance sheet is, I guess, relatively low. It will go down even further post the dividend payment. So what are your funding plans for this year? If you could give some color on that. Thank you.
Kobi Altman: Abbas, thank you. On the impairment of assets, we didn't have much in the fourth quarter. For the full-year results, the main item there is the discontinuing of the projects that we had announced in the third quarter, the potash projects in Ethiopia as well as the information system project - the global harmonization project, what we call. Those are the main items that you also see in the EBITDA calculation, but this belongs to the third quarter. In the fourth quarter, we did not have one. In terms of cash and capital funding, we ended the year with around $3.4 billion of net debt. This is the same level that we ended the previous year, which is a very, very nice achievement because we started 2016 with a significant investment in our partner in China of $250 million, and we were able to go down to reduce the debt level to the level of the beginning of 2016. Cash generation will continue to be strong in 2017 and this will satisfy all our cash needs, so we do not expect further increase in our net debt. To be opposite, we also would like to continue to see slight decline in debt during this year as well, and to finish the year with a net debt to EBITDA ratio of less than 3.5. This is our current target for 2017.
Abbas Ali: Thank you very much.
Operator: Thank you. And your next question comes from the line of Howie Flinker from Flinker & Company. Please go ahead.
Howie Flinker: Hello, everybody. I have two minor arithmetic questions and a bigger question. Your inventories dropped year-over-year, is that because of price or because of a reduction of units? That's the first question.
Asher Grinbaum: This is because of our program to reduce the working capital.
Kobi Altman: So, quantities, yes, quantities.
Howie Flinker: Quantity. Okay, good.
Asher Grinbaum: The quantities, of course.
Howie Flinker: Good. Thank you. Second - my memory fails me. Did you own the 15% of the Chinese joint-venture for much of last year's fourth quarter or not, so I can compare mentally?
Kobi Altman: We invested in the joint-venture. In the 15% if you ask in our partner, we invested in January 2016, so it was not in our balance sheet at the end of ‘15. The joint-venture itself, if that was your question, started in October, so one quarter of working in 2015 versus four quarters in 2016. But the comparison of the fourth quarter - if you compare Q4 ‘16 to Q4 ‘15, in these two quarters already we're with the joint-venture operation.
Howie Flinker: All right, that's clear also. And finally, at the beginning you said one of your efforts this year will be to raise price. In a tough market like this with plenty of supply, how do you do that?
Asher Grinbaum: When we talk about price levels, we talk about our specialties and not about the commodities.
Howie Flinker: I see. Okay. That makes it clear. Thank you very much [indiscernible].
Operator: Thank you. [Operator Instructions]. And your next question comes from the line of Yonah Weisz from HSBC. Please go ahead.
Yonah Weisz: Yes, good afternoon. Just a question on clear brine drilling fluids which are based on bromine, with the slight recovery in oil prices, do you feel any - from your clients, any increased demand or any possibility to increase prices for this product? Thank you.
Eli Glazer: Eli Glazer speaking. In the last year, we saw some reduction in the market and we still see some good demand and we [Technical Difficulty]. In general, we see quite flat market for the coming year. In other words, it's not a big reduction vis-à-vis the last quarter.
Operator: Your next question comes from the line of Andrew Benson from Citi. Please go ahead.
Andrew Benson: Thanks very much. I was disconnected from the call a few times, especially when you were talking about potash and polyhalite, so I do apologize for all the analysts just for asking the same question. But can you just give an idea of the volume or price for polyhalite? You talked I think about lower volumes of potash this year. I just wanted to confirm that, because as I said, I couldn't hear it, and I presume that that's the absence of ability to further destock? And also on potash, you talked about your hope for the prices will go up with the China contract and you hoped it would be signed by the end of March. I just wondered what that hope was based on?
Nissim Adar: Okay, let's start from the end. Prices for potash in the last weeks what we see is that it already bottomed and we see some recovery of prices in different markets. Based on what we hear from the markets, the expectation also in China for a price increase. Now my estimation, and this is again my view, is that during the first quarter, it might be up after now the Chinese holiday start of negotiation might be will end by the end of the first quarter, but no guarantee here. It's really negotiation, and based on the past experience, it can take long time, it can take short time. What I can say is that the inventory in China is lower than in 2015, which would help to boost the negotiation. In regard to Polysulphate prices, right now there is a linkage between what is going on with the prices of potash to the Polysulphate and I expect that this will continue in the future. Now remember we are in a penetration situation in Polysulphate. We’re still in the education of the market, education of the farmers. We do a lot of field work and I don't expect that in the short-term we see here different price of Polysulphate compared to what we have today.
Andrew Benson: Okay. All right, thanks very much.
Operator: [Operator Instructions]. And your next question comes from the line of Gilad Alper from Excellence. Please go ahead.
Gilad Alper: Yes, hi. Thanks for taking my call. My question is about the outstanding issues between ICL and the State of Israel, the Barir field regarding phosphates, the 2030 concession, other issues that are outstanding. Is there any progress? Are you guys waiting for something to happen? Are you just stuck in a standstill with the State because obviously all of these issues have huge issues - have huge impact on valuations, your investment options in Israel, so what's going on with the State of Israel? Thanks.
Asher Grinbaum: Kobi?
Kobi Altman: Hi Gilad. The relationship with the government of Israel is currently working well. In the last few months, we made some significant moves. I will just mention what I mentioned earlier. The settlement with the tax authorities on prior year taxes, and the discussions are now much more constructive, and to the point obviously is mining and doing a lot of operation in Israel, the discussions are on a day-to-day basis. Discussions on the Barir is currently not with the government. It's with the hearing committee. We are participating in those discussions. We provide information as needed, and it’s very helpful for us to predict where this would stand, and this we believe will continue for some times. Very hard to predict right now where it will end. On the 2030 things, I believe that this is something that probably for Israel will be remain under discussions for future years. We don't see any rush for - any reason for a rush for the Israeli country to take decisions or any actions. Right now this is something that can still wait for days to come and many things can still happen in this volatile commodity market, and right now we don't see any activity and so we are not involved in that at this moment.
Gilad Alper: Okay. That means basically that you barred or - well, you’re kind of barring yourself I guess from making any large investments in Israel given that you don't know what the return is going to be, given that you don't know what the new concession is going to look like. Right?
Kobi Altman: Well, we continue to invest in Israel on an ongoing basis. We mentioned the operational excellence that we continue to do. We are the large employer in the south of Israel. We are very, very proud of that and we continue to do that. We are the largest taxpayer in Israel and we are very proud of this as well. Significant enhancements in Israel, if and when the time will come and obviously in a downturn in a commodity cycle, this is not something that is currently on the table, but if time will come, we will discuss it with the government, and I'm sure we will find solutions for that as well that will satisfy the need of both parties.
Gilad Alper: Okay. Thanks.
Operator: Thank you. And there are no further questions, I’ll hand the call back to you for any closing remarks. Thank you.
Limor Gruber: Thank you. Thank you everyone for joining us today. We look forward to talk to you again. And if you have further questions, we are always available. Thank you. Good day.
Operator: Thank you very much. So ladies and gentlemen, that does conclude our conference for today. Thank you all for participating and you may now disconnect.